Operator: Good day, and welcome to the Lee Enterprises Third Quarter 2021 Webcast and Conference Call. The call is being recorded, and will be available for replay beginning later this morning at investors.lee.net. At the close of the planned remarks, there will be an opportunity for questions.  A link to the live webcast can be found at investors.lee.net. Now I will turn the call over to your host, Josh Rinehults, Vice President of Finance.
Josh Rinehults : Good morning. Thank you for joining us. Speaking on this morning's call, Kevin Mowbray, President and Chief Executive Officer; and Tim Millage, Vice President, Chief Financial Officer and Treasurer. Also with us on today's call and available for questions is Nathan Bekke, Vice President, Consumer Sales and Marketing. Earlier today, we issued a news release with preliminary results for our third fiscal quarter of 2021. It is available at lee.net as well as at major financial websites. One housekeeping item to start. We closed on the acquisition of BH Media Group and the Buffalo News on March 16, 2020. The certain results and trends are presented on a pro forma basis, which assumes ownership of these acquisitions for the entirety of the periods presented. As a reminder, this morning's discussion will include forward-looking statements that are based on our current expectations. These statements are subject to certain risks, trends and uncertainties that could cause actual results to differ materially. Such factors are described in this morning's news release and also in our SEC filings. During the call, we make reference to certain non-GAAP financial measures, which are defined in our news release. Reconciliations to the relevant GAAP measures are included in tables accompanying the release. And now to open the discussion is our President and Chief Executive Officer, Kevin Mowbray.
Kevin Mowbray: Thank you, Josh. Good morning, and thank you all for joining the call. I'm extremely proud of the significant progress we continue to make on our Three Pillar Growth Strategy and the impact to that strategy is clearly seen in our financial results. We achieved our second straight quarter of year-over-year adjusted EBITDA growth as well as a return to year-over-year revenue growth in the third quarter. Our results clearly demonstrate that we're on a strong path forward in our effort to generate recurring sustainable revenue growth. Before we go too deep into our operating results, I do want to take a moment to recognize the incredible news and that sort of staff we have throughout Lee, I'd like to thank them for their efforts. They're committed to serving our communities by providing trusted, relevant and timely local news and information. I'd also like to recognize Michael Paul Williams in particular, a columnist at Richmond Times-Dispatch, who in June was awarded the Pulitzer Prize for distinguished commentary. We're very proud of Michael Paul, the Richmond Times-Dispatch editorial team and our entire news teams for living at our commitment to local news that is so valuable to the communities we serve. In getting back to the third quarter operating results, total operating revenue grew 7.6% over the prior year in the third quarter due to the acceleration of total digital growth with strong execution on our Three Pillar Digital Growth Strategy and from cycling the third quarter last year, which was significantly impacted by the pandemic. Total digital revenue increased 48.3% in the third quarter and totaled nearly $66 million. More than 1/3 of our total operating revenues -- digital revenue up from just 23% in the third quarter of last year. Our digital revenue growth is exceeding our expectations in every category, including digital advertising, digital services and digital subscriptions. Almost 55% of our total operating revenues, annual recurring revenue or subscription based and includes audience revenue, anti-digital agency revenue and revenue from our TownNews subsidiary. The 2 pillars -- the first two pillars of our Three Pillar Digital Growth Strategy focused on driving audience growth and engagement, improving the user experience on our digital platforms and accelerating digital subscriptions and revenue. Audiences are strong, reaching monthly averages of nearly 49 million unique visitors and 400 million paid views. We have now achieved 6 straight months of year-over-year growth in total paid subscribers. This means that the growth of our total digital Lee subscribers is outpacing to the client of all access subscribers. Returning to total paid audience growth is a significant milestone for Lee as we continue to drive our digital transformation efforts. Full audience growth in the third quarter helped drive the flat revenue performance in quarter over core subscription revenue. Digital subscription revenues continue to grow at a rapid rate, up 51% compared to the prior year. We now have 337,000 paid digital subscribers, which is helping drive audience revenue performance. These metrics demonstrate, we remain the fastest-growing digital subscription platform in local media today. TownNews, which is our Software-as-a-Service content management platform is the digital backbone of our operation and out of over 2,000 other media partners and revenue accounts continued to perform well, up 8.7% on a stand-alone basis with revenue of $26.7 million over the last 12 months. Growth in revenue at TownNews, combined with our audience revenue streams and anti-agency growth is driving the increase in annualized recurring revenue. The third pillar of our Three Pillar Digital Growth Strategy is to diversify the products and services we offer our local advertisers. Digital advertising revenue increased 48% in the quarter fueled by a 90% growth in revenue from our full-service agency amplify and significant growth in video revenue, which totaled over $2.5 million for the quarter. We continue to make significant investments to diversify the products and services we offer our local advertisers. And just this past week, we announced a new strategic partnership with Amazon to bring all the top video to our customers. These new revenue streams, combined with strategies to develop e-commerce and first-party data revenue streams are laying the foundation for significant digital advertising revenue growth as we close up this fiscal year and move to 2022. Our strategy and execution resulted in a 17.2% increase in total advertising revenue in the third quarter or up $13.4 million for the same quarter a year ago. Our third quarter results clearly demonstrate that we've turned the corner and are headed in the right direction to generating more recurring sustainable revenue. We're very excited about the progress we've made on our digital transformation, and we're very optimistic about our future. We believe we have the right team and the right strategies, and we are better positioned than ever to drive long-term value for our shareholders. And now I'll turn it over to Tim to give more financial detail.
Tim Millage: Thank you, Kevin, and good morning, everyone. We continue to diligently manage our legacy cost structure, aggressively invest in talent and technology to fund our Three Pillar Digital Growth Strategy, and at the same time, strengthen our balance sheet that was reduced $14 million in the third quarter with the principal amount of debt at the end of June totaling $485 million. Since our refinancing in March of 2020 that has been reduced by $91 million. Also, while not seen in our balance sheet yet as we revalue liabilities at the end of the fiscal year, our pension and postretirement benefit obligations at the end of June remain in a net overfunded position. This is a significant improvement in our balance sheet since September 2020, where the net underfunded position was $95 million. As a reminder, our credit agreement has a low fixed annual interest rate, a 25-year maturity, no fixed mandatory principal payments and does not have financial performance covenants, meaning we do not have events of default tied to leverage or other maintenance ratios derived from financial performance of the company. Most importantly, the debt is with a single lender who knows us well and is committed to our success.  Credit agreement also has no prepayment penalty, which affords us the ability to evaluate credit market conditions for an opportunistic refinancing to further improve our debt structure. The favorable debt structure is incredibly important for us as we execute on our Three Pillar Digital Growth Strategy as it allows us the ability to make the necessary investments in talent and technology that fuels recurring sustainable revenue growth. As a result of the revenue performance Kevin walked through, combined with strong cost management, adjusted EBITDA totaled $27 million in the third quarter, up for a second straight quarter. Over the last 12 months, adjusted EBITDA totaled $115 million. We're committed to making the necessary investments to fund our strategy. Total cash costs were up 9.2% due to the significant temporary cost actions taken in the third quarter last year in the onset of the pandemic. Excluding these onetime measures, cash costs were down 3.3% in the quarter as we reduced our legacy cost structure, partially offset by digital investments.  Compensation was down 5.8% after adjusting for the temporary measures due to business transformation and acquisition integration initiatives. Newsprint and ink expense was down 6.9% due to a reduction of our print units, partially offset by increases in pricing. Other cash costs includes print-related costs like print production expenses and delivery expenses, and it also includes digital cost of goods sold. Other costs -- other cash costs were down 0.3% after adjustments in the quarter due to a reduction of print-related costs, partially offset by incremental digital investments. In June of last year, we laid out a target to achieve $100 million in cost synergies by the end of fiscal year 2021. At the end of the third quarter, we have achieved $110 million in cost synergies pacing ahead of our year-end 2021 target. Our strong foundation and well-defined long-term strategy puts Lee on a clear path to value creation for our employees, our readers advertisers and our investors. As we execute and approach our target leverage ratio of 2.5x, we expect to create significant value for our shareholders through conversion of debt to equity. Also, our Three Pillar Digital Growth Strategy positions us to along the full value of lease platform and achieve multiple expansion that is in line with our digital-first peer companies, creating more value from these shareholders. In summary, we are really encouraged with our third quarter results as they clearly demonstrate that we have turned the corner and are on the right path towards creating recurring sustainable revenue growth and long-term value for our shareholders. One last thing before we open the line for questions, we expect to file our 10-Q with the SEC tomorrow. And as always, it will include additional information on our results and expectations. This concludes our remarks. The team will remain on the line for any questions you may have. Operator, please open the line for questions.
Operator:
Tim Millage : Okay, we have no questions on the web. So I'll turn it back to Kevin for closing remarks.
Kevin Mowbray : Well, thank you all for joining us on the call today. As I mentioned earlier, we remain focused on executing at a very high level. We're keenly focused on transforming our business model for the long-term benefit of our employees, our readers and our advertisers and investors. Really appreciate your time today and your interest in Lee. Thank you again.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.